Operator: Ladies and gentlemen, good afternoon. My name is Aaron, and I will be your conference operator for today. At this time I would like to welcome everyone to the Vacasa Q1 2024 Earnings Conference Call [Operator Instructions] I would now like to turn our call over to Ryan Domyancic, Investor Relations. Ryan, you may begin. 
Ryan Domyancic: Good afternoon, everyone. And thank you for joining us for today's call. I'm pleased to be joined today by Vacasa CEO, Rob Greyber; and CFO, Bruce Schuman. We have posted a shareholder letter on the Investor Relations section of our website at investors.vacasa.com that will be referenced by our speakers. Comments made during this conference call and in our letter contain forward-looking statements. Such statements include those about our restructuring actions, including cost savings, future expectations, beliefs, plans, projections, targets, estimates, objectives, events, conditions, and financial performance, including guidance for future period results. We caution you that various risks and uncertainties could cause actual results to differ materially from those in our forward-looking statements. For additional information concerning these risks and uncertainties, please read the forward-looking statement section in our shareholder letter we issued earlier today in the forward-looking statements and risk factor sections that are filed with the SEC. During this call, we may refer to various non-GAAP financial measures. Information regarding a non-GAAP financial results, including the reconciliation of our non-GAAP results or most directly comparable GAAP financial measures may be found in our shareholder letter. The non-GAAP measures should be considered in addition to our GAAP results are intended to supplement but not substitute for our performance measures calculated in accordance with GAAP. And now, I will turn the call over to Rob Greyber. Rob? 
Robert Greyber: Thanks, Ryan. And thank you, everyone, for joining us this afternoon. I'll be giving some opening remarks and commentary on the business. Bruce will follow with a review of first quarter financial results and then we'll open it up for Q&A. For well over a year, we have been working to transform Vacasa into a more efficient, high performing organization, one dedicated to exceptional service for our owners, our guests, and the people who serve them. We've actioned a variety of improvements across the business and I'm proud of the team's progress to date. We remain on that transformation journey and in the midst of an unexpectedly ongoing challenging industry environment, we continue to evaluate opportunities to optimize our business model and shareholder value. I shared with you on our last call that 2024 got off to a difficult start. The short-term rental industry continues to adjust a softening economic demand for domestic non-urban vacation rentals, as well as increases in the supply of short-term rental units. The year began with bookings variability and started off slowly, then showed some signs of stabilization. However, over the last several weeks, which are some of the key weeks for summer bookings, it has become clear that the bookings weakness we saw at the start of the year is likely to persist through the remainder of 2024. These trends are putting real pressure on our revenue per home and profitability. With difficult industry dynamics continuing, we are accelerating the business transformation that is already underway to further empower and enable our local teams with the goal of strengthening our business model. Today, we are reorganizing the way we operate by further equipping our field teams to locally manage and be accountable for their markets. And we are significantly reducing our central corporate footprint. We believe that empowering our local teams will drive the strongest impact on the homeowner and guest experience which in turn should result in better business outcomes. As an organization, we believe we must embrace a more local business model and double down in the way we manage our portfolio of vacations homes at the market level. Directing our resources to local teams and to the processes that bring the most value to our owners and guests will allow us to better support our focus on profitability and free cash flow. Our field teams will be organized and equipped to run their operations in their markets as we further localize functions including sales, onboarding, revenue management, and marketing. For example, we are transitioning our individual sales approach to be directed by our local teams, leveraging their local expertise and giving an end-to-end ownership of the homeowner relationship. Homeowners trust our local teams with the care and maintenance of their vacation homes and the experiences their guest have in these homes. Furthermore, our local operations teams know their markets best, and are therefore best positioned to identify homes and homeowners who are a good fit for our service models. The homeowner experience from onboarding to welcoming guests in their homes is most seamless when our local teams guide them through that journey. As we move to empower our local teams, we're also refining our corporate footprint, sharpening our focus on what is best needed to support those teams. This also allows us to significantly reduce our corporate overhead costs with the goal of becoming profitable in the future. We're also shifting our technology strategy to focus even more on ensuring that we have the tools that increase efficiency and improve the experience for owners and guests and the team members who support them. This focus will guide what technology we invest in internally and externally and will allow us to take greater advantage of step function improvements in industry third-party applications. The actions we have announced today will result in a reduction of our overall headcount by about 800 people or 13% of our workforce. While a difficult decision, we determined it was necessary to accelerate the transformation of our business given the current industry dynamics. Reductions were aligned with our strategy to prioritize resources for the local market teams in the field. On the corporate and central operation side, we eliminated approximately 40% of roles across all functions. In comparison, we reduced field team positions by approximately 6%. While we are making some adjustments in the field, they're relatively small compared to our overall field cost base and designed to maintain service levels to owners and guests even as we adjust to changing market conditions. This significant work ahead of us to drive the success of this transformation. It will not be easy and will require precision in execution. But we believe we have the right team in place to implement these important steps in our transformation. The business will be much lighter from an expense perspective and we believe better positioned, and confident we are making the right strategic decisions to allow the business to reach its full potential. I'd now like to pass it over to Bruce to discuss our first quarter results. 
Bruce Schuman: Thanks, Rob. I'll start by reviewing our first quarter results, then provide some additional details on the business transformation Rob just outlined. Unless noted otherwise, I will be comparing our first quarter results to the first quarter of 2023. And I'll be referencing the operating expense lines excluding the impact of stock-based compensation, restructuring costs, and business combination costs, which you can find outlined in our shareholder letter. For the first quarter, gross booking value which is the combination of nights sold and gross bookings value per nights sold was $427 million, down 18% year-over-year. Nights sold were 1.3 million in the first quarter, down 12% year-over-year. Gross bookings value per nights sold was $340 in the first quarter, down 7% year-over-year. As a reminder, there's a strong correlation between nights sold and gross booking value per nights sold. And it's difficult to look at either in isolation. Our revenue management algorithms, data team constantly evaluate the tradeoff between price and occupancy and the mix of nights sold and gross booking value per nights sold with the goal of optimizing homeowner income. Over the past several quarters, we've discussed the year-over-year declines in average gross bookings value per home as the industry normalizes off the record highs from the past few years. And we saw this dynamic play out again in the first quarter, with average gross booking value per home declining by about 15% year-over-year. We finished the first quarter with approximately 41,000 homes on our platform, down from approximately 43,000 at the end of the first quarter last year, reflecting the ongoing churn dynamic that we had been seeing. The short-term rental industry continues to adjust the various headwinds such as increased supply and lower average gross booking value per nights sold. We also continue to see owner concerns with rates and the resulting income as a leading cause of churn as the industry wrestles with these factors. Revenue, which consists primarily of our commission on the rents we generate for homeowners, the fees we collect from guests, and revenue from home care solutions provided directly to our homeowners, was $209 million in the first quarter, down 18% year-over-year. Now turning to expenses. Cost of revenue was 50% of revenue in the first quarter versus 48% of revenue in the same period last year. Cost of revenue in dollars declined by 14% year-over-year, compare to a 12% decline in nights sold. Operations and support expense was 28% of revenue in the first quarter versus 23% of revenue in the same period last year. Operations and support expense dollars were up 1% year-over-year. In terms of our other operating expenses, the sales and marketing expense, which includes the fees we pay our third-party distribution partners declined 12%. Technology and development expense was up 7% and general and administrative expenses declined 2%. Adjusted EBITDA was negative $36 million in the first quarter compared to negative $12 million in the same period last year. Despite progress on our expense reductions, adjusted EBITDA continues to be affected by bookings variability, impacting nights sold, gross booking value per home, and ultimately revenue. As Rob indicated, we are experiencing unexpected continued bookings weakness in terms of both price or gross booking value per nights sold and utilization or nights sold per home as we approach our summer peak. While January started off slowly, we saw an uptick in bookings intakes in February. However, over the last few weeks, as the summer booking curve has come into view more clearly, we have seen both the number of bookings and the price at which those bookings are made come in below our initial expectations. This weakness is translating into lower revenue and in turn lower adjusted EBITDA and we must take action. We've been on a transformation journey over the past year with the local market making or influencing more of our business decisions. Given the industry backdrop, we now expect to face throughout 2024, we must accelerate this transformation. While this carries execution risks, we believe that further empowering our local teams and reducing our corporate cost structure is the right decision to optimize our business model and shareholder value. As part of the restructuring announced today, we are reducing our headcount by about 800 employees or 13% of our total workforce with the largest impact to our corporate teams as Rob noted. We expect these adjustments to provide over $50 million of cost savings in 2024, and over $120 million on an annual run rate basis. The in-year cost savings are expected to be largely realized in the third and fourth quarters with meaningful reductions anticipated across our technology and development, sales and marketing, and general and administrative expense lines. At this point, it remains difficult to provide guidance for 2024. The ongoing industry dynamics and their impact on bookings variability, average gross bookings per home, as well as continued elevated churn creates a wide range of outcomes for revenue, which then flows through to adjusted EBITDA. While the changes we've announced today are expected to reduce our cost structure for 2024, given the current revenue dynamics, we don't anticipate reaching adjusted EBITDA profitability this year. Lastly, given the uncertainty and market conditions, the variability around the timing of our bookings billed into the summer peak season and as we are executing on our corporate transformation, we have taken the prudent step of drawing about $80 million under our revolving credit facility to supplement our liquidity. With that, Rob and I will take your questions. Operator, please open up the lines. 
Operator: [Operator Instructions] Our first question is from the line of Jed Kelly with Oppenheimer. 
Jed Kelly: Just on the local market strategy. Should we anticipate that you're going to kind of focus on the markets where you have a higher density, and you can drive more profitability, and maybe, I don't know, unload some of the contracts where you don't have as much density or generating as much profitability? 
Robert Greyber: Hello Jeff, thanks very much. Appreciate the question. So look, for the past year, we've been on this journey of transforming the business, we've been looking as part of that work closely at where we can do more to empower to enable our local teams to drive more of the business. We see opportunity as we've been executing as a team to improve service for our owners, service for our guests and our financial results. We think we demonstrated that as we move through the year in 2023. There is some opportunity to focus more in some markets over others, but really, it's more about sort of how we allocating capital and what we're seeing in terms of higher velocity or lower velocity sales progress in some markets, for example. So, you know, we don't have a lot more to share about those pieces, but it's something that we certainly are mindful of where we're lucky to have a market footprint that we think is very attractive and encouraging going forward. But these are industry-wide dynamics. And so we're wanting to be very sensitive to that and to make sure that we're gearing the business in the right way for what's ahead. 
Operator: Our next question comes from the line of Ben Miller, with Goldman Sachs. 
Benjamin Miller: I guess, following up on that, you know, with the headcount reductions more focused at the corporate level than the local market level and having decisions now pushed to be more locally managed. Can you give any color on what local market economics look like? In other words, what would a local market P&L or contribution margin look like today before layering on the corporate costs and what that says about the incremental scale you might need to offset those corporate costs to get back to profitability? 
Robert Greyber: Yes. I appreciate that question. When we look at our markets, we've been doing a lot of work, as you know, through the last year to drive better, not just better performance, but better awareness, better feedback loops, better reporting for the local market teams on how their businesses are performing, what the remaining potential is. This is really about continuing that work. This is something that we've pulled forward in the timing of the way we've been executing it but something we've been working on for a long time. I think that there's a lot of opportunity in sharpening the incentives in the work that we are enabling our teams to do out of their silos and in a more coordinated and aligned way, you know, locally. So, maybe Bruce can comment on the cost structure. We haven't shared a lot about how we do our reporting and kind of management internally, but maybe he can share a little bit more about what we put in contribution margin and how we think about that. 
Bruce Schuman: Yes, thanks, Rob. And one way to think about it. If you look at our cost structure, you know, roughly our cost of revenue, number one. And then secondly, our operations and support costs. You put those together, they primarily represent our local market costs. That's about 70% of our cost structure broadly speaking. Though, as we really lighten our corporate overhead cost load, I think we're going to really be able to unlock more of the inherent value associated with those local markets. 
Operator: Our next question comes from the line of [ Doug Madoff ] with JP Morgan. 
Unknown Analyst: This is [ Steve ] on for Doug. Just picking up the theme of shifting some of the roles here in local markets. It sounds like their field teams will need to wear many hats going forward. So just wanted to make sure like could you explain like how -- like what gives you the confidence that they can take on more responsibilities and perhaps roles, perhaps activities that require different skill sets and be successful? And is this something that is more temporary or do you think this is more -- likely just more permanent change that will work in the future as well? 
Robert Greyber: Yes. So when we look at the transformation and work that we've been doing, this has been something that as I mentioned just a moment ago, we've been working on for a long time. So this is not about a change that we have been contemplating for just a moment, but rather something we've been moving toward, and as we've shared with you transforming the business toward over a period of months and quarters. The skill sets of the team, in my experience when I've been out in the field, talking with owners and talking with our teams, where we operate best is on some level where our sales teams know what the ops teams want to manage and serve and where the operations teams know where sales should go and build relationships. And to the extent that we can do more and more to try to formalize those relationships, to try to breakdown the silos that sort of would keep those teams apart to align their incentives, that's really where we see and we believe there's a real opportunity for the business to unlock a next level of performance. But there's a lot of work to do to get it done. The teams are excited to make that happen. And we believe that that is the best way for us to serve our owners and our guests and the people that take care of them as we go forward. 
Operator: [Operator Instructions] Our next question comes from the line of Bernie McTernan with Needham & Company. 
Stefanos Crist: Hello, this is Stefanos Crist, calling in for Bernie. Just wanted to ask about churn versus the increasing market supply. And could you talk about what you're seeing in gross adds? 
Robert Greyber: Yes. So on churn, when we look at churn, as we had shared on prior calls, churn is not where we want it to be. The industry continues to come off the highs that we saw in 2021 and 2022. We do see owners continuing to cite frustration over income levels as one of the top reasons that they look to change. We've shared that we've seen some improvements in our owner NPS through the last 12 months. We've made substantial investments in working with our owners on one of the other top reasons that they cite, which is around owner communication. So the tools, the processes, the work that we're doing there, we're very focused on those 2 things as well as working with them on understanding and delivering revenue premiums wherever we can on making sure that they understand how we are thinking about pricing and pricing strategy and understand the market dynamics. At this rate, churn has not gotten to where we wanted to be. We haven't seen those things translate into less churn at this stage. In terms of ads, we're continuing to focus on our organic sales performance with the transformation. As I mentioned, we're focused on empowering our local teams to have more responsibility, more say in this, to be able to be more aligned as they're building those relationships with owners. We're building those things into incentives. And we believe that the teams that are going to be closest to our owners working together more and more, they know the owner's best. They know the local team's best and they'll have that ability to drive better outcomes over time. 
Operator: Our next question comes from the line of Lee Horowitz with Deutsche Bank. 
Unknown Analyst: This is [ Ishan ] on for Lee. So in terms of trends, saw a slight uptick in the nights. But can you give some more color on what would that have been excluding the impact of extra lead day? And in the shareholder letter, it was mentioned that nights and GBV per nights are coming below your expectation. Can you help us understand how does that compare to the 1Q? 
Robert Greyber: So a couple of things, and I'll ask Bruce to jump in just on the evolution of nights sold and so forth. So from an industry perspective, when we spoke at the -- back in February, we had indicated that we were seeing a very dynamic environment in the industry, and we saw this being a function of 2 things: the softening of demand for vacation rental -- in vacation rentals in the markets that we serve, primarily domestic, non-urban markets. And then the second thing was around increases in the supply of short-term rental units. So for us, we saw these kind of weak and volatile intakes in January, we did see some stabilization and signs of improvement as we got into February. And that was encouraging as we approach some of the booking windows for our summer peak season, but we were obviously watching that very closely. However, during March and April, the bookings build for our peak summer season has remained below our expectations. And so as we look at that and we look out through the rest of the year, it's become clear to us that the summer season and the dynamics through the year will be very challenging and likely down again on a year-over-year basis. So there's some longer-term trends here that we think are in play on just sort of softening consumer demand. But that's what we were seeing as we were looking out at the beginning of the year. 
Bruce Schuman: Yes. Perfect. And just to give you -- this is Bruce. Just some additional color on how the quarter played out to your question. Revenue obviously declined 18% year-over-year, while homes under management, those declined by about 5%. So think of the rest of that gap is really due to the lower monetization of the homes on our platform. And again, based on the data we see, we think this is happening across the industry. It's not really specific to Vacasa. And that lower revenue, specifically because of the ADR, the pricing component, that drives some deleverage for us across the cost structure as you just can't lower your cost structure that fast in the quarter by 18%, even though we're much more variable than we were. That really drove the declines in adjusted EBITDA year-over-year for the quarter. Given, we believe these gross booking value levels to Rob's point, are going to persist. That's why you saw us take the action today to really accelerate our company transformation and significantly reduce our corporate expense load. 
Operator: Our next question comes from the line of Nick Jones with Citizens JMP. 
Unknown Analyst: Hello, this is Tim on for Nick. Just wanted to kind of piggyback on that question, you're just kind of talking about ADRs and driving deleveraging the business and your guys' priority to maximize income for the homeowners. Can you talk a little bit about what you're seeing in terms of occupancy rates and how that dynamic is playing out with ADRs and maybe how you guys could manage that to maximize income? 
Robert Greyber: Yes, sure. So maybe I'll kind of share with you a little bit about sort of occupancy and ADR dynamic. I think that's your question. So our homes declined about 5% year-over-year. Our nights sold declined about 12%. So that kind of implies the nights sold per home. That was kind of the difference there. And then to drive those nights sold, obviously, we want to make sure we're optimizing price to drive that sell-through and gross booking value per night was down about 7%. That kind of gives you the interplay there between the occupancy and the ADR side. 
Operator: Ladies and gentlemen, with that, that will end today's Q&A session for today's call. And I would like to turn it back over to Rob Greyber for any closing remarks. 
Robert Greyber: I want to thank everybody for joining the call today. I also want to take a moment to thank our owners for entrusting their homes to us, to our guests who are making memories with us and to all of our colleagues at Vacasa who are working so hard to make all of this happen. Thank you all very much for joining.